Operator: Good day, and welcome to the Blackstone Mortgage Trust Third Quarter 2025 Investor Call. Today's call is being recorded. [Operator Instructions] At this time, I'd like to turn the conference over to Tim Hayes, Vice President, Shareholder Relations. Please go ahead.
Timothy Hayes: Good morning, and welcome, everyone, to Blackstone Mortgage Trust's Third Quarter 2025 Earnings Conference Call. I'm joined today by Katie Keenan, Chief Executive Officer; Tim Johnson, Chair of BXMT's Board and Global Head of Breads; Tony Marone, Chief Financial Officer; Austin Pena, Executive Vice President of Investments; and Marcin Urbaszek, Deputy Chief Financial Officer. This morning, we filed our 10-Q and issued a press release with a presentation of our results, which are available on our website and have been filed with the SEC. I'd like to remind everyone that today's call may include forward-looking statements, which are subject to risks, uncertainties and other factors outside of the company's control. Actual results may differ materially. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our most recent 10-K. We do not undertake any duty to update forward-looking statements. We will also refer to certain non-GAAP measures on this call. And for reconciliations, you should refer to the press release and 10-Q. This audio cast is copyrighted material of Blackstone Mortgage Trust and may not be duplicated without our consent. For the third quarter, we reported GAAP net income of $0.37 per share and distributable earnings of $0.24 per share. Distributable earnings prior to charge-offs were $0.48 per share. A few weeks ago, we paid a dividend of $0.47 per share with respect to the third quarter. Please let me know if you have any questions following today's call. With that, I'll now turn it over to Katie.
Katharine Keenan: Thanks, Tim. BXMT's strong third quarter results underscore the continued forward momentum across all aspects of our business, including earnings power, credit, investment activity and balance sheet optimization. We reported distributable earnings prior to charge-offs of $0.48 per share, covering the $0.47 dividend and continuing this year's positive trajectory. Book value was essentially flat, reflecting a stable credit backdrop with no new impaired loans. We continued our robust investment activity, looking across channels, originations, portfolio acquisitions and net lease and across geographies to find compelling relative value. And we continue to drive a more attractive cost of capital to enhance our competitiveness, improving terms on both corporate and asset level financing to reflect the strong positioning and track record of our business through this period. BXMT's 3Q performance also reflects our ability to capitalize on the continuing recovery in market conditions. Real estate fundamentals remain strong with demand stable or improving and new supply constrained. Liquidity and transaction activity are increasing with SASB CMBS on track for a record issuance year. This dynamic continues to generate robust repayment levels in our pre-rate hike portfolio, $1.6 billion this quarter and affords us a strong investment pipeline with $1.7 billion of total originations closed or in closing post quarter end, building on the $1 billion of investment activity in 3Q. While spreads have normalized as liquidity has returned to the market, the diversity and reach of our platform's vast sourcing engine are crucial differentiating factors. And with a market-leading capital markets team, we've continued to drive down our cost of borrowing. These advantages on both sides of our business allow BXMT to produce compelling returns on both an absolute and relative basis. I'll turn it over to Austin to speak in more detail about our investments, portfolio and balance sheet. Before I do, I'd like to spend a minute on BXMT's opportune positioning today. Our portfolio is turning over, unlocking earnings from more challenged legacy deals and steadily increasing the proportion of our capital invested in high-quality current vintage assets. Our balance sheet is in fantastic shape, and we remain at the forefront of both structural and cost of capital innovation. And all of this has translated to healthy earnings generation supporting our dividend. The forward trajectory of our business is embedded in this quarter's results, though BXMT's stock price has yet to catch up. Notwithstanding the tremendous progress we have made in the last several years, our stock today trades within 10% of the lows through this period and continues to provide a highly attractive 10.4% dividend yield. This disconnect has created the opportunity for us to repurchase over $100 million of stock so far this year at a meaningful discount to book value. As my tenure as CEO comes to a close, I could not be more excited about the momentum of this business and our highly capable leadership team. I'd also like to express my deep gratitude to the analyst and investor community for your support and attention to BXMT over the years. Congratulations to Tim and Austin on their new roles. And Austin, over to you.
Austin Pena: Thanks, Katie. BXMT's strong third quarter investment activity demonstrates the distinct advantages of our platform's differentiated scale and sourcing capabilities as we closed $1 billion of total investments across loan originations, net lease assets and a performing bank loan portfolio that we acquired at a discount. Our loan originations remain concentrated in our highest conviction sectors with 75% in multifamily and diversified industrial portfolios and over 60% in international markets, where we are capturing excess spread relative to comparable deals in the U.S. We continue to achieve attractive net interest margins, setting up investments to achieve a levered spread of more than 9% over base rates or low teens all-in returns. And importantly, credit characteristics remain very attractive with strong cash flow profiles, light value-add business plans and an average LTV of 67%. Investments this quarter include a 90% leased diversified U.K. industrial portfolio and a well-amenitized stabilized multifamily property near Miami. We also steadily grew our net lease portfolio, investing another $90 million across 60 properties in the third quarter, bringing the total portfolio to $222 million at BXMT's share. Importantly, we've maintained a rigorous approach to credit, acquiring assets within durable industries and generating strong EBITDAR coverage, nearly 3x on average and at significant discounts to replacement cost. With another $100 million in our closing pipeline, we continue to expand our presence in the net lease sector. To that end, this quarter, BXMT acquired a 50% interest in a $600 million portfolio of granular loans secured by fully occupied net lease retail assets with a low weighted average origination LTV of 52% and an in-place debt yield over 12%. We were uniquely positioned to evaluate this portfolio, leveraging our experienced net lease and loan portfolio acquisition teams to underwrite and execute this transaction. Acquiring high-quality performing loans at discounts from banks remains one of our top investment themes across our platform. These transactions have a high barrier to entry, requiring bespoke sourcing capabilities, the capacity to underwrite granular portfolios quickly and accurately and the operational wherewithal to onboard and manage hundreds of loans seamlessly. But here at Blackstone, we have invested in building market-leading capabilities to execute, leveraging the scale of our team and our data. And the prize is quite compelling, high credit quality loans with convexity and duration in thematic sectors and with outsized risk-adjusted returns. And with bank M&A accelerating, we see more opportunities like this on the horizon. In total, we expect to close over $7 billion of new investments this year across originations, loan acquisitions and our net lease strategy, diversifying our portfolio and enhancing credit composition through deliberate rotation into the sectors and markets best positioned in the current environment. Turning to the portfolio. Market tailwinds are driving increasing investor demand for assets, large and small and supporting positive credit outcomes. We collected $1.6 billion of total repayments in the third quarter, including 4 loans greater than $200 million, 2 secured by Texas multifamily assets and 2 abroad, a European hotel portfolio and a London office building. We had no new impaired loans this quarter. We resolved 2 previously impaired loans at a premium to aggregate carrying values, and we upgraded 8 loans, including 6 office loans, removing 2 from our watch list. Our loan portfolio is now 96% performing, and our impaired loan balance continues to decline, now at 71% below last year's peak. We expect to complete additional resolutions next quarter with 1 impaired office asset sold last week and others in advanced stages. The real estate recovery, while uneven, is extending to some of the most acutely impacted markets and sectors. In San Francisco, fundamentals are improving, driven by the growth of AI. Multifamily rents are up 10%, office demand is growing and convention hotel bookings are up 60%. Investors are taking note with acquisition volumes picking up across sectors. Altogether, 25% of our REO portfolio today is in the Bay Area, including our largest asset, a fully renovated hotel held at nearly 60% below the prior owner's basis and more than 70% below replacement cost. San Francisco has long been amongst the most cyclical markets in the country. And today, we are positioned to capitalize on the upswing. Amid a strong capital markets backdrop, BXMT has taken advantage, refinancing and extending over $2 billion of corporate debt in the last 12 months. Debt markets have been resilient through recent market volatility with spreads still sitting within 20 basis points of all-time tights. And we continue to see strong demand from our bank lenders, providing opportunities to introduce new facilities, further optimize our financing structures and reduce our marginal secured funding costs. We borrowed over 15 basis points tighter in the third quarter compared to the prior quarter, improving our cost of capital and advancing our overarching goal to generate an attractive, stable stream of current income for our investors. And with that, I will pass it over to Tony to unpack our financial results.
Tony Marone: Thank you, Austin, and good morning, everyone. In the third quarter, BXMT reported GAAP net income of $0.37 per share and distributable earnings or DE of $0.24 per share. DE prior to charge-offs, which excludes realized losses related to 2 loan resolutions, was $0.48 per share, an increase of $0.03 from the prior quarter and $0.01 above our $0.47 quarterly dividend. DE benefited from BXMT's continued execution on key initiatives with investment activity, loan resolutions and accretive capital markets executions all contributing to this quarter's strong results. We also recognized $0.02 of default interest from a multifamily loan that repaid in full. Looking forward, we expect our earnings will continue to benefit from capital redeployment and resolutions of impaired loans, including the 2 that closed on the last day of the quarter as we unlock the earnings potential of that capital. For reference, we collected $0.06 of interest from impaired loans this quarter, which were excluded from earnings under cost recovery accounting. We ended the quarter with book value of $20.99 per share, which was largely stable quarter-over-quarter, reflecting strong credit performance, loan resolutions executed above carrying values and accretive share repurchases. When considering the $0.47 dividend, BXMT provided an 8% annualized economic return to stockholders this quarter. BXMT repurchased $16 million of common stock in Q3 at an average share price of $18.69, a significant discount to book value. And so far in Q4, we've accelerated buybacks through recent market volatility, repurchasing another $61 million of stock at even lower levels. In total, we have repurchased nearly $140 million of shares since establishing our program in 2024. And just last week, received Board approval to replenish our $150 million buyback capacity. Our book value at 9/30 includes $712 million, $0.14 -- excuse me, $4.16 per share of CECL reserves, which declined from $755 million, $4.39 per share in the prior quarter as we crystallized $42 million of specific CECL reserves in connection with 2 impaired loan resolutions. As Katie mentioned earlier, these resolutions were executed at a premium to aggregate carrying values, contributing to an $11 million net reversal in our specific CECL reserve and offsetting the modest $10 million increase in our general reserve. Turning to our balance sheet. BXMT remains well positioned to address today's attractive investment environment with debt to equity down to 3.5x, strong liquidity of $1.3 billion and over $7 billion of available financing capacity as of quarter end. And in October, we closed a new $250 million non-mark-to-market credit facility with an international bank who recently established their CRE loan warehousing business targeted Blackstone as one of their first and largest relationships. Another example of our strong position in the market and ability to drive differentiated results for stockholders. We continue to take advantage of the supportive capital markets backdrop to further optimize our cost of capital as we repriced $400 million of corporate term loan during the quarter, reducing spread by 100 basis points and upsizing the deal by $50 million, reflecting strong demand from institutional investors. And just last week, we collapsed BXMT's 2020 FL-3 CLO, which we replaced with balance sheet financing at a lower spread. CLO market remains robust with new issuance nearly tripling last year's total and tracking its strongest year since 2022. We have been a consistent issuer in this market, completing our fifth transaction earlier this year, and we are well positioned to take advantage of the supportive market backdrop. Before opening the call to Q&A, I will turn it over to BXMT's Chairman and incoming CEO, Tim Johnson, for a few closing remarks.
Timothy Johnson: Thanks, Tony. First and foremost, I'd like to thank Katie for her dedicated service to BXMT, the Board and our shareholders. Katie leaves BXMT in a tremendous spot with a global portfolio that's delivering for our investors and a team that's poised to capture this exciting investment environment. I've had the pleasure of working alongside Katie throughout her Blackstone tenure, and I'm extremely grateful for all of the hard work, strategic insight and strong execution she's brought with her each and every day. She's been an inspiring partner and leader and will leave a lasting impression on our business. While we'll no doubt miss Katie, we wish her well in her next chapter and are confident the team will step up in her place. Personally, I'm excited to have been appointed CEO of BXMT and to work closely with Austin to continue to build on the momentum our business has today. Austin and I are fortunate to have the strength of the Blackstone franchise behind us, our dedicated team of over 160 real estate credit professionals and the critically important connectivity with our global real estate team. This has always been the backbone of BXMT's investment process. I'm looking forward to working more with all of you along the way. And with that, I'll now ask the operator to open the call to questions.
Operator: [Operator Instructions] We'll take our first question from Catherwood with BTIG.
William Catherwood: Katie, just first off, congratulations and best of luck in your new role. It's been an absolute pleasure having you in this position. And then second, just wanted to follow up, Katie, on your prepared remarks, where you mentioned a recovery in transaction activity and return of liquidity to the CRE markets. Kind of 2 items around that. First off, can you provide a little bit more color on exactly where you're seeing that? Is that U.S. and Europe? Or is it just pockets that you're seeing that recovery? And then second, if that recovery in transactions is more here in the U.S., which is what it seems like to us, could we see a larger portion of your origination activity pivot back to U.S. loans instead of more Europe loans, which you've been doing so far this year?
Timothy Johnson: Thanks, Tom. This is Tim. I'll take that. I'd say liquidity certainly has returned to markets, I would say, both in the U.S. and in Europe. As you pointed out, a bit stronger on a relative basis in the U.S. and mainly driven by a more established CMBS market here in the United States, as Katie referenced, tracking toward an all-time high in terms of liquidity. So I would say it's a little bit further ahead, as you'd expect in the U.S. versus Europe, but both places are continuing to see capital markets open up and be pretty strong. In terms of the U.S. versus Europe on an ongoing basis, what we love is being able to have a platform that can look across all of the regions and establish a view on relative value at any moment in time. So that does shift over time. And I think that the U.S. continues to be the biggest market for us, just a larger transaction market overall. So I think you'll continue to see this be the largest share of our investment activity over a long period of time. But we certainly look at both and play relative value across both.
William Catherwood: Appreciate that, Tim. And the second one for me, maybe Austin, in terms of the REO portfolio, can -- first off, can you remind us of the potential earnings uplift as that capital comes back over time? And second, do you need to set aside incremental capital for the New York City hotel that you took on balance sheet during the quarter? Or is that one in pretty good shape already?
Austin Pena: Yes. Thanks for the question. I would say, generally, we haven't given specific numbers in terms of the potential earnings uplift. But obviously, the REO assets are not generating our target returns, and we certainly see the opportunity to, as we turn over the portfolio, exit these REO assets over time to drive additional earnings power as we do that. Specifically with regards to sort of CapEx and conditions, I would say, firstly, we have a tremendous amount of insight into kind of the needs across these assets. And we really don't feel that there's a significant component of CapEx needed. To the extent it is needed, we certainly have the capability to do that with over $1.3 billion of liquidity. But I'd say the condition of these assets across the board is pretty good, and we feel comfortable with our position today.
Operator: We'll take our next question from Harsh Hemnani with Green Street.
Harsh Hemnani: Maybe one on how you're thinking about originating new loans versus buying back into the capital structure. Is there a particular premium or discount to book at which you're thinking that buybacks are perhaps more accretive than new originations? And it sounds like 4Q is stepping up on the origination front, but also on the buyback front. So I'm just trying to understand the relative value math there.
Timothy Johnson: Yes. I'd say we continue to look at both in terms of every day, just like we do across loans in the U.S. and Europe, we look at opportunities of where to invest capital, including share buybacks, which, of course, we've been quite active in. So that's -- I'd say that's a pretty dynamic analysis. But we've captured the -- we've taken advantage of the opportunity to buy back when the stock has traded at levels that we think are quite attractive and provide a very high return on investment. So I think that's how we look at it. We continue to look at it dynamically over time.
Harsh Hemnani: Got it. And then maybe one on the makeup of the investment portfolio this quarter. It seems like roughly 2/3 of originations this quarter were in sort of the traditional floating rate loan portfolio and roughly 1/3 is in net lease and bank loan portfolio acquisitions. Should we be thinking about these fixed rate loans as sort of being a lever for you to be able to reduce your floating rate exposure ahead of what most are expecting to -- they're expecting to see lower floating rates in the future?
Austin Pena: Yes, Harsh, this is Austin. I can take that. I think you're correct in that we really are looking across different channels to deploy our capital right now. One of the things we like about net lease in these bank portfolios is that they do add some duration and create a natural hedge to our sort of traditional floating rate business. The bank portfolios, in particular, as we noted earlier, we're buying those at a discount to par. And that provides some upside convexity to the extent those loans repay more quickly than we underwrite. And we like that as well from a risk-adjusted return basis. And so I think you'll continue to see us look across different types of investments across these channels to really think about the best relative value and really sort of diversify the composition of our earnings.
Operator: We will take our next question from Jade Rahmani with KBW.
Jade Rahmani: Each earnings season brings its own unique developments, and it seems to me that this earnings season so far has been characterized by AI dominance, but also some pockets of weakness in the economy, whether it be in the consumer and jobs or discrete credit items in the financial space and the C&I lending and also a couple of CRE items. So the commercial mortgage REIT sector also seems to have been caught in this downdraft. And my main question is whether you've seen any spillover effects into the CRE market as yet? And if you're doing anything differently, perhaps more defensively to prepare for any weakness that may unfold.
Timothy Johnson: Thanks, Jade. I'd say we're not seeing it in real estate credit. We are in an environment with real estate credit where we've gone through a pretty significant downturn, and now we're quite clearly in recovery mode in terms of coming out of that downturn. So I would say the real estate credit market has been somewhat uniquely tested already and has experienced its challenges, not to say that there might not be other challenges around the corner, but it definitely is more battle tested, I'd say, overall. And so that translates through to what we see on the new origination side of things in terms of credit quality. Generically, you're going to have a more tighter lending market coming out of a cycle like we've been through where credit standards are higher. And so we're not seeing that type of deterioration that's been referenced elsewhere. We're seeing much like what you're seeing in the BXMT portfolio itself, improved credit overall.
Jade Rahmani: And in terms of the pace of 3Q investments and originations, notwithstanding the bank loan JV, which I believe would have higher ROEs than the traditional business. Was there anything that drove a more muted pace of originations perhaps it was on the liability management side, putting in place the new repo line, the tighter spreads on the term loan as well as calling the CLO? Was that in preparation of stronger originations and maybe weighed on volume in the quarter?
Austin Pena: Yes, Jade, this is Austin. We obviously made $1 billion of total investments this quarter, which we think is a good amount. I would say that we have $1.7 billion in closing as well. So our pipeline of opportunities remains really robust. So I'd say we're actively investing in the environment. I would say there might have been a modest impact seasonally with some of the volatility we saw sort of in the spring around some of the tariffs, which may have impacted certain timings of transactions overall. But over -- but really across our channels, we really see a lot of interesting opportunities both in Europe and the United States. So we feel good about the level of the transaction activity going forward.
Operator: We'll take our next question from Doug Harter with UBS.
Douglas Harter: Sort of touching on that last point, how do you see the pace of kind of net deployment in the portfolio in the coming quarters? And how do you think about what is the right level of leverage that you guys are targeting?
Austin Pena: I'd say I'll take the first. In terms of deployment, I think it's a pretty good indication of what you saw this past quarter where we're having a healthy amount of repayment activity and then turning that directly into new investment activity. So I think we're at a place where we feel pretty good about being kind of at a run rate in terms of repayments and deployment overall. So I think that would remain consistent.
Douglas Harter: And on the leverage side, like how are you thinking about what is the right level of leverage to run this business at this part of the cycle?
Timothy Johnson: Yes, Doug, on leverage, obviously, we're at 3.5x today, which is right in the middle of the range that we target. And so I think we've always been sort of in that mid-3s over the last quite period. So we certainly have liquidity and capacity to sort of go up a little bit from there. And again, we're seeing good opportunities. So we feel very comfortable with the balance sheet today and where we are from that perspective.
Operator: We'll take our next question from Rick Shane with JPMorgan.
Richard Shane: I apologize, like everybody, we're bouncing around between calls. So if this has been covered, I apologize. Look, when we look at the implied dividend yield as a function of book, it's about 9%. You guys aren't clear yet. When you think about the path to covering that dividend, which is obviously not only your goal, but your indication by maintaining that dividend, can you walk us through sort of what the different levers in terms of higher yields, reducing nonaccruals, reducing REO, what you think are sort of rank those opportunities, please, and perhaps give us some sense of what the contribution of each is?
Timothy Johnson: Yes. Thanks, Rick. I'd say, obviously, it was good to cover the dividend this quarter in terms of distributable earnings ex charge-offs at $0.48 relative to $0.47 dividend. As Tony noted, a couple of onetime small items in there, but pretty close to the dividend ex those. And as you said and as we've said for a while, we set the dividend with a long-term view in mind. And where we really still have earnings left to unlock is in the REO and the impaired loan portfolio, where we can turn those assets into higher returning investments. We're not particularly focused on quarter-to-quarter results as there's always a little bit of variability in terms of the ins and outs of fundings and things like that. But we continue to have confidence that we've set the dividend level at a long-term sustainable position.
Richard Shane: Got it. Okay. And is there -- when you think about, for example, funding cost rate outlook, obviously, you're modestly asset sensitive, but there's so much opportunity in terms of recycling capital. I'm assuming that you guys are even in a sharply lower short-term rate environment, confident that you can continue to achieve those hurdle rates given the scale.
Timothy Johnson: Yes. I would say that's right. I think the opportunity to redeploy the capital within the REO portfolio and the impaired loan portfolio is a really strong offset to a lower rate environment.
Austin Pena: I would also add we only lose [ about 150 basis points ] of rate move. So it's not as drastic as you might be thinking.
Operator: We will take our last question from Don Fandetti with Wells Fargo.
Donald Fandetti: Can you talk a bit more about what you're seeing in office market fundamentals? I mean I think you had 6 upgrades. And I guess at this point, is it possible that you'll end up being a bit over reserved in your office book?
Austin Pena: Yes. Thanks, Don. This is Austin. I definitely would say we are seeing stability and improvement across office. I think you see that, as you noted, in the movements in terms of our upgrades this quarter, 6 office loans upgraded, 2 of them were removed from our watch list. That's really driven by leasing that we're seeing at these assets. And so I definitely think we're starting to see more broad-based green shoots, liquidity coming back into the market. As I noted earlier, we sold one of our impaired office assets post quarter end. So continue to see more transaction activity, more capital coming off the sidelines for the sector. I'd say in terms of reserves, we obviously go through those every quarter. We feel like our reserve levels are appropriate. We feel good about where we set those. It's obviously a detailed asset-by-asset analysis that we do. And so we feel good about where those are.
Donald Fandetti: Okay. And then on a follow-up, I mean, you've had another quarter here where there was fairly steady credit migration. How are you thinking about like movement to 4 from 3 in the near term? Do you feel like you're in a steady state?
Timothy Johnson: I'd say the direction of travel for credit is clearly positive in the portfolio with the no new impairments. So I'd say we -- the direction is quite clear. Obviously, we're continuing to work through things. But in terms of credit migration, we feel like we've basically resolving 70% of our impaired loans at this point and a good line of sight to a significant amount more. We feel really good about the overall path here in terms of credit performance.
Operator: That will conclude our question-and-answer session. At this time, I'd like to turn the call back over to Tim Hayes for any additional or closing remarks.
Timothy Hayes: Thank you, Katie, and to everyone joining today's call. Please reach out with any questions.